Presentation:
Operator: Hello and welcome to Doximity's Fiscal Q2 2023 Earnings Call. I will now pass the call over to Doximity's Head of Investor Relations, Perry Gold, to kick off the call.
Perry Gold: Thank you operator. Hello and welcome to Doximity’s Fiscal 2023 second quarter earnings call. With me on the call today are Jeff Tangney, Co-Founder and CEO of Doximity, Dr. Nate Gross, Co-Founder and CSO, and Anna Bryson, CFO. A complete disclosure of our results can be found in our press release issued earlier today as well as in our related Form 8-K, all of which are available on our website at investors.doximity.com. As a reminder, today's call is being recorded and a replay will be available on our website. As part of our comments today, we will make forward-looking statements. These statements are based on management's current views, expectations and assumptions and are subject to various risks and uncertainties. Actual results may differ materially, and we disclaim any obligation to update any forward-looking statements or outlook. Please refer to the risk factors in our annual report on Form 10-K, any subsequent Form 10-Qs, and our other reports and filings with the SEC that may be filed from time to time including our upcoming filing on Form 10-Q for the quarter. Our forward-looking statements are based on assumptions that we believe to be reasonable as of today's date, November 10th, 2022. Of note, it is Doximity’s policy to neither reiterate nor adjust the financial guidance provided on today's call unless it is also done through a public disclosure such as a press release or through the filing of a Form 8-K. Today, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A historical reconciliation to comparable GAAP metrics can be found in today's earnings release. Finally, during the call, we may offer incremental metrics to provide greater insights into the dynamics of our business. These details may be one-time in nature, and we may or may not provide updates on those metrics in the future. I would now like to turn the call over to our CEO & co-founder, Jeff Tangney. Jeff?
Jeff Tangney: Thanks Perry and thank you everyone for joining our second quarter fiscal 2023 earnings call. We have three main topics today: our Q2 results, network growth, and post-pandemic digital outlook. It’s a lot to cover, so I’ll jump right in. Q2 was a ‘beat & reiterate’ quarter for us. On the topline, we were proud to join the 9-figure quarterly revenue club, with $102.2 million in revenue. This was a 2% beat versus the high end of our guidance and a re-acceleration in our growth to 29% year on year. Our net revenue retention rate or NRR was 128% overall, and 136% among our Top 20 clients. In other words, our largest clients are also our fastest growing which means we believe we still have much headroom to grow. More on this market sizing in a minute. Turning to our bottom-line, we delivered an adjusted EBITDA margin of 45% last quarter or $46 million, which was 12% above the high end of our guidance. We completed our $70 million share buyback in Q2. Over the last 6 months, this buyback has reduced our shares outstanding by about 1%. Given the $80 million in free cash flow we generated in the first half of this year and our $750 million cash balance, our Board has authorized an additional $70 million one-year share buyback program. As before, it won’t touch our IPO warchest or affect our strategic investments. Looking ahead to the second half of our fiscal year, we’re reiterating our annual guidance of 25% topline growth with 43% EBITDA margins. At the midpoint of our quarterly guidance, this implies 9% and 11% revenue growth quarter on quarter for the next two quarters. Okay, turning now to our network growth, our usage hit fresh highs in Q2. Our fax & e-signature products saw record use with millions of HIPAA secure messages. Our physician scheduling tools saw a 57% year-on-year rise in unique Doximity logged-in users as we rebuild our Amion acquisition into our core product. And our telehealth tools were used by a record 370,000 unique physicians, NPs, and PAs last quarter making over 200,000 calls per workday. All in, our mobile office suite is helping more doctors than ever stay connected on the go. On the EHR partnership front, we are now a validated member of the Oracle Cerner code Developer Program, so along with Epic, we now can connect with 85% of large hospital EHRs (per KLAS research). And we remain the “Best in KLAS” across our hundreds of Dialer Enterprise clients, as we’ve had a 100% renewal rate so far this year. This bears repeating: we’ve had zero churn in our enterprise telehealth clients so far this year. For those not using Epic or Cerner, we’ve added a new ‘Scan number’ feature where the doctor can simply point their phone’s camera at the EHR screen. Our AI then scans for the patient’s phone number and calls it. It’s nearly instantaneous and a really nifty feature. Since any doctor on any EHR can use it, we joke it’s our “universal EHR integration.” And it gets used thousands of times each workday. It’s time-saving ‘delighter’ features like Scan Number that have earned us a perfect 5 star review on 88% of our 140,000 app store reviews. And keep in mind that docs are tough graders! Most physician workflow apps get 2 to 3 stars on average. We don’t seed or pay for any of these reviews, but we do spend a lot of time listening to our docs. Our design mantra here is physicians first. To that end, we’re excited to convene our 11th annual DOCS Tech Summit in San Francisco in a few months. It’ll be 200 of our nation’s top digital docs rolling up their sleeves with our engineers to design software to make healthcare better. We can’t wait to build the next phase of the clinical cloud. Okay, I’d like to take a few minutes now to discuss the post-pandemic shift to digital marketing and how this affects our long-term growth rates. As a reminder, our clients include ALL of the top 20 hospitals and ALL of the top 20 pharmaceutical companies, a distinction we believe no other digital health company shares. Hospitals have surprisingly been our fastest growing clients this year. They’ve accelerated their shift to digital out of necessity. Kaufman Hall predicts that half of US hospitals will lose money this year, and there’s a painful and growing divide between the digital-haves and the digital have-nots. We’re proud to serve the digitally savvy, and they like our ability to track referrals and show hard ROI. Our median all-time hospital ROI is now 17 to 1, up from the 13 to 1 we cited in our S-1, and we just signed a $4 million hospital renewal, our largest ever, and we’re not done yet. That said, Pharma is the larger market and a very different story. Financially, pharma is doing quite well. Despite the macro headwinds, their sales are up 12% year-to-date (per Trefis, among S&P 500 pharma), and pharma stocks are only down 9% (per iShares US Pharma ETF). As for pharma digital marketing, a few analysts have predicted a flat year as pharma returns to its pre-pandemic ways. We believe this is overblown. While we hit an air pocket early this year, we’ve since seen a steady rebound in the market as pharma migrates traditional dollars to digital. A number of credible sources agree with us here. For starters, this August, E-marketer estimated that digital B2B healthcare marketing, our core market, grew 46% in 2020, 30% in 2021, and will grow 17% in 2022. We think this sounds about right. Pharma is known to be recession resistant and the latest Standard Media Index report supports this. Their September ad tracker shows that pharma improbably led all other industries in ad dollar growth. Looking ahead to next year, a Digital Health Coalition study in September of 70 pharma execs found that 74% will be more reliant on digital in 2023, while only 6% said they’d be less reliant. This said, it’s not really about digital dogma, it’s about ROI. Especially in leaner times, pharma is incredibly measured and disciplined about ROI. Generally, they strive for a 3 to 1 return on their marketing dollar, and they will continue to invest to that level. Some digital solutions will cut the mustard, and some won’t. Which leads me to perhaps the best stat of this call: for the third party studies completed over the last six months, our median pharma ROI has improved to over 15 to 1. That’s well above the 10 to 1 we cited last year in our S-1. This is for a host of good reasons, including our increased reach and personalization. Our all-time pharma median ROI now stands at 11 to 1, and our logged-in, identity verified, double difference methodology remains the industry gold standard for ROI measurement. An 11 to 1 ROI implies that all else equal, if we theoretically did nothing but raise prices, then we would have 7 years of 20+% growth ahead of us before our ROI falls to 3 to 1. That’s the baseline aperture through which we view our longer-term growth rate as we’ve obviously many many vectors to grow beyond price. In sum, we are fulfilling our long-term mission of being the digital platform for doctors. During the pandemic, we pulled away from our competition in terms of physician usage and utility. Our “mobile medical office” suite was always differentiated, but many pre-covid practices simply didn’t use it. Telehealth wasn’t reimbursed, and there was little reason to try. Then the lockdowns hit, and doctors scrambled to learn to use our fax, e-signature, and telehealth tools. And so much like the QR code has become a permanent part of our culture, our tools have become a permanent part of medicine. The practice of medicine is mobile now. And we’re honored to power it. And with the launch of our point-of-care and peer-to-peer products, we are just now beginning to realize the benefits of that growth. Our clients are resilient and profitable, and we continue to benefit from multi year tailwinds in our industry's nascent and overdue shift to digital. Our ROI-driven pricing model aligns us with our clients, making us their digital HCP partner. And as our physician platform continues to set usage records, we're excited by a generational opportunity to create a win-win digital platform to connect physicians across the greater healthcare ecosystem. Okay, I’d like to end by thanking my 953 and growing Doximity teammates who continue to work incredibly hard to realize our mission. The best journeys are rarely a straight line, and I’m proud to be on this one with you. And with that, I’ll hand the call over to our CFO to discuss our financial performance and our guidance. Anna?
Anna Bryson: Thanks Jeff and thanks to everyone on the call today. I’ll begin with our Q2 financial results and then move onto our outlook. Second quarter revenue grew 29% year over year to $102.2 million, exceeding the high end of our guidance range. Similar to prior quarters, our existing customers continued to lead our growth. Our net revenue retention rate was 128% in Q2 on a trailing twelve month basis.  Additionally, our largest customers are still growing the fastest, with a 136% net revenue retention rate for our top 20. We ended the quarter with 291 customers contributing at least $100,000 each in subscription-based revenue on a trailing twelve month basis. This is a 24% increase from the 235 customers we had in this cohort a year ago. This cohort of customers accounted for 87% of our total revenue.  Turning to our profitability, Non-GAAP gross margin in the second quarter was 90%, flat versus the prior year period. Adjusted EBITDA for the second quarter was $46 million and adjusted EBITDA margin was 45%, compared to $32.8 million and a 41% margin in the prior year period. While we continue to strategically invest in R&D and sales and marketing, with these  Non-GAAP costs growing 19% and 26% year-over-year, respectively, we are encouraged by our ability to generate efficiencies in G&A, shrinking costs here by roughly 1% year-over-year. Now turning to our balance sheet and cash flow. We ended the quarter with $750 million of cash, cash equivalents, and marketable securities. We generated free cash flow in the second quarter of $37.7 million compared to $18.1 million in the prior year period, an increase of 109% year over year, as we continue to run a very profitable, high cash generating business.  Now moving onto our outlook. For the third fiscal quarter of 2023, we expect revenue in the range of $110.7 to $111.7 million, representing 14% growth at the midpoint, and we expect adjusted EBITDA in the range of $47.7 to $48.7 million, representing a 43% adjusted EBITDA margin. For the full fiscal year, we are reiterating our revenue guidance of $424 to $432 million, representing 25% growth at the midpoint. In addition, we are reiterating our adjusted EBITDA guidance of $178 to $186 million, representing a 43% adjusted EBITDA margin. As you consider our Q3 revenue growth guidance, please recall two factors we’ve discussed previously.  First, we saw material revenue outperformance in Q3 of last fiscal year as many of our clients were instituting layoffs, adjusting their go to market strategies, and quickly reallocating their dollars to digital. As mentioned on prior calls, we did not expect a budget reallocation of this magnitude to repeat. The second factor impacting our Q3 growth rate is the cumulative effect of the mid year upsell slowdown we discussed last quarter.  That said, demand has returned in recent months, and we are encouraged by the traction we're seeing in the midst of our clients’ annual buying cycle. We see digital budgets among our clients growing, and it's clear to us that they view their high ROI generating, marketing programs on Doximity as core to their overall marketing strategy.  As Jeff mentioned, our all-time pharma median ROI has increased to 11:1 across 29 therapeutic areas, and our all-time health systems median ROI now stands at 17:1. These studies show that our clients continue to drive higher returns and greater value through our platform. We are also excited by the opportunity to provide even further value and unlock additional budget categories with our new point of care module set to launch January 1st. As it pertains to getting these annual programs live, this year we have focused heavily, for the first time, on content planning in tandem with deal negotiations.  Our deep relationships with existing brands combined with our large library of approved content allows for this optimization to occur. As a result, we expect smoother revenue recognition for Doximity and more January start dates. The strength of our pipeline and this operational gain is reflected in our implied Q4 guidance range. I’d like to close by re-emphasizing the long term growth potential that we believe we have at Doximity. We are in the early innings of a large and growing market opportunity, aided by a secular shift to digital.  As of today, we still remain less than 5% penetrated into our clients US medical professional marketing budget, and we believe we are uniquely advantaged to gain market share as these budgets continue to shift to digital over the next decade. With our leading network and high ROI, we have a significant opportunity to not only grow within our existing budgets but also unlock new budgets over time. With that, I will turn it over to the operator for questions
Operator: [Operator Instructions] Our first question comes from the line of Ryan Daniels with William Blair.
Ryan Daniels:
Jeff Tangney:
Ryan Daniels:
Jeff Tangney:
Ryan Daniels:
Jeff Tangney:
Operator: Our next question comes from the line of Brian Peterson with Raymond James.
Brian Peterson:
Jeff Tangney:
Brian Peterson:
Jeff Tangney:
Operator: Our next question comes from the line of Scott Berg with Needham.
Matt Shea:
Anna Bryson:
Matt Shea:
Jeff Tangney:
Operator: Your next question comes from the line of Richard Close with Canaccord Genuity.
Richard Close:
Jeff Tangney:
Anna Bryson:
Richard Close:
Jeff Tangney:
Operator: Our next question comes from the line of Sandy Draper with Guggenheim.
Sandy Draper:
Anna Bryson:
Sandy Draper:
Anna Bryson:
Sandy Draper:
Operator: Our next question comes from the line of Cindy Motz with Goldman Sachs.
Cindy Motz:
Anna Bryson:
Cindy Motz:
Jeff Tangney:
Anna Bryson:
Cindy Motz:
Anna Bryson:
Operator: Our next question comes from the line of Stephanie Davis with SVB Leerink.
Stephanie Davis:
Jeff Tangney:
Stephanie Davis:
Jeff Tangney:
Stephanie Davis:
Anna Bryson:
Operator: Your next question comes from the line of Stan Berenshteyn with Wells Fargo Securities.
Stan Berenshteyn:
Nate Gross:
Operator: The Q&A portion of the call has now concluded. I will now pass the call back to Doximity's CEO, Jeff Tangney, for closing remarks.
Jeff Tangney: Well, I want to thank everyone for joining us this evening and appreciate the good questions. Look forward to seeing you all again next quarter. Thanks much.
Operator: This concludes today's conference. You may now disconnect.